Operator: Good morning, and welcome to the Hargreaves Lansdown Full Year Results Call. My name is Seth, and I'll be the operator for your call today. [Operator Instructions] I will now hand the floor over to Chris Hill, Chief Executive Officer to begin, please go ahead.
Chris Hill: Thank you, Seth. Good morning, everyone. Welcome to Hargreaves Lansdown's 2021 Full Year Results. Thank you for joining us. I am Chris Hill, Chief Executive. I'm joined on the call by Philip Johnson, Chief Financial Officer. So just turning to the first slide. You'll already have seen this morning that we have put out a record set of numbers and delivered the strongest full year performance that Hargreaves Lansdown's ever had, a record 233,000 net new clients, a record £8.7 billion of net new business. And we've continued to build our position as the U.K.'s leading digital wealth management service. We now look after over 1.6 million clients. And over the period, we hit a new market share high of 42.9% in the D2C market. The challenge this year has presented with the significant ongoing impact of the coronavirus and volatility has been clear to everyone. But HL has delivered, again, demonstrating that, through the cycle, and there will be ups and downs, we are delivering long-term growth. We continue to focus on building the breadth and ease of our service to ensure the right client experience and reinforce the lifelong relationships we are building with clients. And we use the insight and engagement that our scale provides to help us deliver significant developments to our proposition and service. This year, that includes the launch of new retirement solutions and more mobile and payment functionality. This progress and our strong position is represented in a robust financial performance with £366 million of underlying profit before tax, up 8% over last year. I'll now hand over to Philip, who will take you through the financials and dividend performance in more detail.
Philip Johnson: Thanks, Chris. Good morning, everyone, and welcome to Hargreaves Lansdown's 40th birthday set of results, where life begins again. Sorry, I can't see you right now. It's hard to believe we again can't be with you in person today. The past 18 months has been the most unprecedented time, certainly of my life and for so many others, 18 months where we've been locked up, subjected to the fears of a pandemic and teased with the promises of vaccinated freedom. 18 months where markets have learned the power of the retail investor and the long predictive future of more and younger people taking control of their financial affairs is now. These factors are all reflected in another record year at Hargreaves Lansdown. Our growth has never been as strong, our clients have never been as active, and the operating conditions have never been as tough. At times, it felt like we squeezed 2 years of growth and more than 3 years of activity into one. But it's been a year where we're proud to have delivered the service we aspire to for our clients, although a year too that placed strains on our capabilities and our colleagues, common challenges in the COVID world. Our financial performance reflects all these factors, amazing growth, I mean, 233,000 net new clients and £8.7 billion of net new business. Diversified revenue streams up 15% to £631 million despite lower average market levels, lower interest rates and challenging conditions during the year and a resilient service we've had to invest in to manage these record levels of activity and growth, all resulting in underlying profits, excluding the gains on the sale of FundsLibrary last year, growing 8% to £366 million, allowing the Board to also increase the like-for-like total dividend 5% to 50.5p per share. So looking at the numbers in more detail, starting with revenue. Hargreaves Lansdown offers a marketplace of funds, shares and cash products to retail clients. These provide us with a diversified revenue stream with positive exposures to a range of market conditions. In confident times through rising asset values, in volatile times through rising dealing levels and inflationary times through rising interest rates. You can clearly see the benefits of this diversification here with revenues up 15% to £631 million despite different market conditions and different activity levels at different times in the year. Within this, funds revenue was up 11% to £233 million, strongly outperforming market levels due to consistent purchases made from net new business. Shares grew 74% to £258 million as dealing volumes spiked both on U.K. and overseas shares. I'll come back to this and our forward guidance in a moment. Cash NIM fell 44% to £51 million, as expected, due to lower interest rates. HL Funds revenue and assets moved in line with markets, helped by net inflows from the main execution only part of our business into the multi-manager fund range in each of the last 8 months. And other income fell due to lower advice fees and the disposal of FundsLibrary. So as promised, looking at shares in more detail. These 2 charts should be familiar to you from the half year. And as before, please see this as try my best to help rather than rigid guidance. The chart on the left shows monthly dealing levels over the past 5 calendar years and suggested guidance for the 2022 financial year. This has built off dealing volumes at around 40,000 a day. So why 40,000? The graph on the right, I think, shows why. This shows the rolling weekly dealing volumes per day in both the U.K. and overseas and their correlation with lockdowns. This correlation was 6x previous peak days overall. And within this, the red effect up to 30x on overseas can be clearly seen driving volumes, revenues and associated activity costs. Remember, overseas dealing brings both greater revenue and greater costs due to its FX components, hence our upwards profit nudge in February. The relevant periods for my forward guidance, however, are those when we weren't in lockdown, after shops reopened in June 2020 and the step release to indoor pubs and restaurants reopening in May '21. Volume here sits consistently at around 40,000 a day, perhaps more consistently than we get credit for. Normalized level, roughly double active at pre-pandemic business, showing the progress HL has made across this period due to our larger customer base and higher engagement levels. So looking at the margins and guidance on our other asset classes. You'll see on the slide that our funds margin and guidance have come down for the first time since RDR. I want to be as clear as I can be that this has nothing to do with our main execution-only platform. It's due to us choosing to lower the admin fee on our portfolio management service, or PMS from 49 basis points to 25. PMS is our discretionary advisory offering, and we proactively chose to reduce its fees given our belief that a competitively priced advice offering will be an integral element of our future digital wealth management service. On HL Funds, I mentioned in February that we are repricing our multi-manager funds to share economies of scale with our clients and restore competitiveness. These changes have now gone live, and the 2022 margin guidance, as indicated before, is 66 to 70 basis points. And our cash guidance for next year is now 15 to 20 basis points as the yield curve has risen marginally since I last spoke. Moving on to costs. I said upfront that this year record activity and growth whilst operating under unprecedented conditions have placed strains on the business and led to direct costs and investment consequences. These are positive in many ways. Positive for the short term when you link activity-based revenues to activity-based costs, positive for the medium term, as we invest in technology to improve our service and offering to access our market opportunity and positive for the long term as marketing costs are driven by new clients and new business acquisitions with the increased lifetime value of the business this brings. These 3 drivers have been consistent for some time now. So I've split down our previous other cost category further, so you can more clearly see them in 2021 and beyond. Operating costs this year were up 24% to £266 million, slightly ahead of our guidance to increase in line with client numbers, mostly due to the exceptional activity costs linked to the additional £110 million of dealing revenues received this year. Looking forward, our cost guidance remains cost growth aligned with client growth, mindful of opportunities and market conditions at the time. So that leads to why we are saying this again in more detail. There are 3 themes which I want to draw out here that underpin our guidance. Firstly, servicing. In common with many similar businesses around the world, we are scalable, but not to the inflated activity and growth levels we saw in 2021. We have had to add people, both in our service areas and our technology teams to cope with our rapid increase in scale and deliver our offering to the standards we see. HL is a growing business, and most of the scale and activity is driven by our existing client base, not new clients. So some of our metrics calm down next year. We still have 1.65 million clients of sports. As context, that's 375,000 more than when the pandemic began 18 months ago. More clients at HL added in the first 30 years of existence. And hence, you should expect these servicing costs to stay in the business. Secondly, technology, a world, a market, our competitor, regulatory and our client expectations are continually evolving. And this means our offering, proposition, service, the way we deliver it, especially via technology, must continually evolve too. We must improve ourselves, become more scalable and extend our capabilities, for example, by deploying more third-party software, exploiting our data edge and greater use of the cloud. Investing in our technology will always be a key element of the cost base, and we expect that to continue in 2022. And thirdly, we've never believed more strongly in the possibilities for Hargreaves Lansdown. This year is validating the benefits of our market-leading brands, proposition, offering and position. We are a business which is so much stronger and larger post-pandemic than we were before it. And these themes and the potential opportunity, which Chris will talk to you more shortly, is why we believe the right thing to repeat our usual guidance, for costs to increase in line with client growth. Moving on to profits. Our client focus, diversified revenue streams and investments into growth had again delivered a robust set of financial numbers. The graph show the strong growth we have delivered over the past 6 years, more than doubling client numbers, consistent revenues per client, whilst maintaining unit costs at similar levels. Client growth is at the heart of our profit growth and our future business growth, because adding clients and building a lifelong relationship with them is executing our strategy and key to rewarding all our stakeholders over the long term.  The tables here show you profits before tax and earnings per share. The statutory numbers in black and the underlying numbers, excluding the £38.8 million profit from the disposal of FundsLibrary last year, in blue. These blue numbers show the underlying profit and EPS, which measure like-for-like trading, both up 8%. I'll finish by looking at our balance sheet and dividends. This slide shows our continued healthy surplus over regulatory capital requirements after the final and special dividends, which I'll come to in a moment, are paid. A robust, resilient balance sheet is important to all our stakeholders, clients, shareholders and our regulator. Strong capital and liquidity positions fund our growth, allow us to manage through unexpected events and underpin delivery of an attractive income stream to shareholders through the cycle. So finally, dividends. Again, the table here shows the statutory numbers and ratios in black and the underlying ratios in blue. Our dividend policy is to distribute excess cash after taking account of the group's regulatory capital, investment and growth requirements and market conditions at the time. We have consistently followed this approach at Hargreaves Lansdown such as with the one-off return of the FundsLibrary proceeds within our special dividend last year. This financial year also has an unusual and potentially nonrepetitive element within it in the form of the super elevated dealing volumes we saw in early 2021. The Board has therefore decided that it's sensible to distribute a proportion of this excess within the special dividend rather than to bake it into the progressive ordinary element, so that we can maintain across-the-cycle dividend growth. This means total dividends in 2021 exactly as they would be. Simply the balance is more weighted to the special. Looking at the components of this, the final ordinary dividend of 26.6p per share generates a total ordinary dividend of 38.5p. Combined with a special dividend of 12p per share, this results in a total dividend of 50.5p, 8% ahead of equivalent last year, in line with the rate of profit growth. Thanks very much, everyone. I look forward to your virtual questions at the end, and I'll pass you back to Chris now.
Chris Hill: Thank you, Philip. If I start now on Slide 15. As I mentioned before, 2021 saw a phenomenal performance in our business. In the year, we experienced a number of different volatilities impacting the market from Brexit to the U.S. election to the emergence of vaccines and then the ongoing uncertainty created by the coronavirus. Despite this, following a slow start, investor confidence picked up post-November and was high and resilient throughout subsequent market events. Our results have reflected that, but the last year has set records, including our biggest ever growth in net new clients at 233,000 alongside very strong net new business of £8.7 billion, the first time we got over £8 billion, and this has helped to drive our assets under administration above £135 billion for the first time. The high investor confidence also drove the record trading volumes Philip has spoken about, with a 53% uptick on prior year. Demand for online services of all kinds has showed that this financial year has been one where digital wealth management and investing has stepped to the forefront of people's minds. From the headlines relating to Reddit share dealing to the Deliveroo IPO to Bitcoin, it's clear the awareness by society has grown significantly, and more and more people are seeking to understand and embrace the need to engage with their finances to ensure the resilience and financial well-being that they want for the future. Whilst some of the volume of trading has clearly been exceptional, we do not expect it to go back to where it has been before the pandemic. And more broadly, there has been a permanent shift in people's behavior. So as client growth continues and people continue to become more engaged, their expectations of service from their investment provider is changing, and we see this reflected in the interaction with our platform. We expect this to continue as clients embrace a more digital and connected service model. Just in 3 years, from 2018 to today, you can see a dramatic uplift in client interaction. Our digital visits have increased 132% to 393 million. We have seen a sevenfold increase in mobile trades and experienced a 30% increase in help desk calls and e-mails. This is not just about a much larger client base. It's also reflective of a client base that is more engaged and a client base that is shifting the way in which it engaged. If we were trying to manage the trade and log-in volumes that we see today back in 2018, this would have been very difficult. However, through the investment we've made in both our service, including the additional colleagues outlined here and our technology, we've been able to ensure both the resilience and scalability of HL through the challenges of the pandemic and the pressures of the return of investor confidence. We did, though, in November, see very high levels of volume associated with market volatility that led to a brief outage of our system. We've learned from that experience. We've implemented a number of changes to capabilities, processes and systems to mitigate risk and ensure that we maintain robust client service as we scale. To provide this service and the client experience of the future, you must be providing a digital-first offering that meets their needs. With the scale of insight, we generate as the market leader and our client-first approach, we are well placed to continue evolving this and developing growth at pace. The opportunity that underpins our ability to grow at pace remains and is itself growing. I've stood up here virtually at several results presentations, and I've spoken about the structural drivers in the market and how these will drive the future growth of this industry. We continue to see each of these enduring low interest rates over the last decade and volatile markets, the shift to greater individual responsibility for retirement savings, the generational transfer of wealth and an increasingly complex savings environment. We see all of these as critical to the growing importance of the wealth management industry. But what we've seen over the last year is the COVID-19 pandemic has reinforced and provided an accelerant to all of these things and the importance of effective savings and the need for individuals to be financially resilient is now as stark as ever. Back in 2018, the U.K. wealth market was £2.5 trillion. And now at 2021, it's risen to £3 trillion. The opportunity we see in this market is only getting larger. And by 2025, expectations are that it will have grown to £3.7 trillion. HL is £135 billion and the D2C market is £289 billion, represents only a small piece of this. But by continuing to build out our digital wealth management service, broaden our proposition and deliver effective service, we believe, as the market leader, we will play a significant role in this exciting and growing opportunity. We are helping more and more people into the direct market, and we'll continue to grow our share of a growing market. A demographic change that has been underway for some time across the industry, but has become more noticeable through the pandemic has been the increase in the mix of younger investors. This has been well reported externally and highlighted in our own numbers, but it is a key driver of what we see. The chart on the left of Slide 18 makes the key point because the U.K. wealth market is no longer all about the baby boomer. The chart on the right here is forward-looking. It shows the relative sizes of the market by age and plots the expected growth rate between now and 2025. So you can see that younger client groups will become the growth drivers of the future. Younger clients are showing an increasingly -- increasing willingness to learn about investing and prioritizing financial resilience and savings. And they're also starting to benefit from the transition of wealth from older generations. This and the rollout of auto enrollment will only accelerate the knowledge and engagement and relative sophistication of clients. We study the underlying reasons behind these changes closely, and we focus on the opportunities that arise looking at their behavior. When we ask younger clients, what has made them more interested? Many of the core themes I've mentioned come through, but we also see new impacts from social media that provides the prompt. This highlights that digital, easy-to-use solutions and connected services will be key for this demographic, which is why you've seen us invest in these propositions and services. The trends shown in the wider market are not new or pandemic-based changes. They're a dynamic change we've been experiencing and adapting to at HL for some time. The charts on Slide 19 shows how the dynamics are playing out in the wider market and how they compare to HL's experience. On the left, we can see the growth across client age groups, but the changing mix stands out. In 2012, 48% of clients were between 55 and 80. We now have 32%. And although we recruited our highest ever number of 55 to 64-year-old clients in 2021, we also saw nearly 50% of new clients were aged 30 to 54 in this period. These changing demographics support a shift we've been seeing for some time in our average client age. In 2007, the median age was 58. In 2014, this was 54. And in 2021, it's now 46. As you can see, whilst we continue to service significant numbers of older clients, our younger demographic groups have driven fast growth over the last 5 years. The fact that we've attracted so much of the younger generation to our service gives me confidence that our investment in our proposition and user experience is paying off. When you look at the chart on the right, it shows the relative growth rates and relative size of assets. So put simply, we are growing a mix of younger clients, and younger clients grow assets quicker. They have had the fastest growth rate over 5 years. This younger mix of clients underpins our future growth because their investment behaviors mirror the trends of previous cohorts. Through our scale of understanding and our 40-year track record of supporting clients through their financial lives, we know what they need and how we can best support them over their lives. And as we build these lifelong relationships, we can work with these new clients on similar parts to what we always have, leading the lifetime value of our overall client base to increase with the shape and age of the client base. I showed you this chart on Slide 20, back in February. But I wanted to update this again as it shows what I've been talking about. How clients of various age cohorts, behavioral patterns align in building their investment pots. Again, I want you to focus on the bold dotted line. This is the line that best fit, that demonstrates how clients grow their holdings over time. The striking thing is when you look at the behavior of clients over time, the investment trends and patterns are remarkably consistent. And although it's still early days, we've seen the same patterns emerging in the clients we've added this year. With 50% of these new clients between the age of 30 to 54, we are adding those clients at the point where they're building their wealth. You can pick your own points on this line, but I just told you, the average client age is 46. And the average age of new clients this year is 37. And the stats of 2021 support that they're looking at their investments with long-term financial resilience in mind. 2021 was the year of the ISA. Clients are utilizing tax-efficient wrappers for the future with over 180,000 more than last year and more active contributors than in any recent year. Although we did see an increase in share trading when some clients first joined, the average 2021 clients are now moving closer to average levels of share trading, and we're now seeing a greater proportion begin to invest in funds. The message is clear. By building a digital experience that combines a broad proposition and service that supports clients throughout their lives, we can generate value over the long term and help them to build successful financial features. It's by driving client growth that we can continue to fulfill this lifetime value cycle and build significant returns over the long term. Therefore, our growth strategy is client-led and focused. And in 2021, we continue to evolve this to reinforce our best-in-class offering. We've developed how we attract clients, building out our brand through our second multichannel advertising campaign and an increasing breadth of spokespeople and press engagement. Whilst also improving our offering through the launch and rollout of our Cash ISA product within active savings and the development of our new retirement solutions, now offering online drawdown solutions and investment pathways. We've also enhanced how we engage with clients, offering more content and insights with over 1,000 articles posted during the year, producing better digital tools, including expanding our mobile app functionality and strengthening our investment research through the launch of the Wealth Shortlist and the Fundfinder. And key to building lifelong relationships with clients is retention, where we continue to expand and personalize the experience that clients have with HL to highlight the value of our service and the relationship that we have with them. This includes making our existing services easier, like payments where this year, we've expanded our 24/7 bank transfer functionality and linked up with Stripe to provide 3DS payments. Or Active Savings where, for 90% of the year, we provided at least one market-leading rate. And through our educational content and campaigns where we continue to help clients to grasp the basics of investing and how their choices may impact their financial goals. By continuing to invest in line with our strategy, just as we have in these examples, we are building the foundations to enable our ongoing scalability and capability with a strong client service ethos at the center. For a business of our scale, execution is key. And over the last year, we've significantly developed our ability to meet the demands of our growing client base. As I look ahead to 2022, this focus will continue. And later this year, we'll be welcoming several new executives to help us drive the business forwards, including a new Chief Information Officer, a Chief People Officer, to join the Chief Risk Officer and Interim Chief Operating Officer we've welcomed in 2021 and ahead of welcoming a new CFO in 2022. The capability that these hires will bring is critical to our future success and will set us up to deliver. Together as a team, we will work to capitalize on the market opportunity and be able to continue to drive our market-leading position and digital wealth management service into the future. We're clear on what that leading digital wealth management service of the future needs to look like to drive success. We have a large and growing client base, and this scale means we have unique insights to understand client needs. By using this insight, we are able to continue to deliver our client-focused strategy and evolve our service and proposition ahead of competitors. You can see what our clients are saying to us here on Slide 22. Work with me, be a lifelong partner supporting my financial future. Help me accelerate my progress through providing the right experience and support to make it easy and clarify, so I understand, make it relevant to me. I gave you some color on how we've already delivered on developments to support these needs over the last year in the previous slide, but we're not stopping here, and we continue to be dedicated to evolving our service and improving our proposition to strengthen our offering. To give you a flavor of where we want to focus looking ahead, we will continue to develop our content and service, providing more tailored content and educational tools for different groups and life stages. Our digital engagement continues to grow, and we'll support this by evolving our technology and building our mobile experience. We recognize the importance of advice as a helpful tool at key points in financial journeys. So we'll continue to build out how we optimize our service in this area and align it with the guidance provided through our D2C service. The development of our proposition continues to be a priority. And alongside building out our investment proposition, we will utilize technology investment to offer new servicing and personalized experience solutions for clients. So I look forward to updating you on this as we progress. 2021 has been a record year for HL and has brought outstanding growth. The pandemic has accelerated the structural trends we've seen in the market for some time and has amplified the significant and growing opportunity that the wealth industry has ahead. As the market leader, we are already benefiting from these trends, having used our scale to spot them early on and deliver the right client service. We are even more excited by the opportunity ahead of us now post-pandemic, and we are very well positioned to execute against it. So today, we've given some further guidance. In FY '22, we expect costs to reflect ongoing investments and be broadly aligned with client growth. But given our enlarged client base, we expect stronger client activity in FY '22 versus FY '20, remembering that in FY '20, it included a few months of elevated activity during the peak of the pandemic period. And this reflects the larger client base we have and the guidance around activity levels that Philip has given. And in the medium term, as we look beyond this period of post-pandemic normalization and investments, HL will continue to deliver attractive earnings growth with improving operating leverage and as the benefits of this investment deliver. The key takeaway for you from today is that we are very excited by the growth opportunity ahead of us, and we are well positioned to deliver on it and grow shareholder returns. So with that said, can I just hand back to you, and we'll take whatever questions there are.
Operator: [Operator Instructions] The first question today comes from Nicholas Herman at Citi.
Nicholas Herman: I hope you can hear me. A couple of questions from my side, please. The first one -- first couple are on costs. Just the first one -- our costs in the second half of last year -- last financial year. Much of that [indiscernible] we see rates. The second question [indiscernible] ongoing thing. But would you just give us a sense of how much growth investment you made in the last financial year and how far you are [indiscernible] particular type of investment. And as a part of that, given current behavior cost generation has been fairly similar, if it continues on the same path, could you give us a sense of how far away we are before we start to see that operating leverage offsetting the investments you're making? Are we talking within 3 to 5 years? Would that be your actual definition of medium term? And then the second bucket of question is on trading volumes. Just again numbers one. Just curious how the mix of volumes in May, June was split for you between domestic and international equities, please?
Chris Hill: Thanks, Nicholas. Some of that was a little bit tricky to hear. If I can, I'll take -- you had a question around the cycle of investment grade. So let me talk about that one. And then perhaps Philip will take the comment about trading volumes and that first part, which I think was to do with costs in year. So let me be sort of really clear on this one. We've given you guidance on FY '22 costs. And then take a step back because what I talked about this morning is this greater opportunity that we got, which is larger than we thought that it was before in the context of us successfully growing over the last 5 years. The business is twice the size that it was before. But through that period, we've obviously been investing, but we've also seen a change in market levels. We've seen a consistent reduction in interest rates. So what I'm doing is stepping back and encouraging you to think through how that develops in the medium term. And what that means is as we come out of the pandemic -- and we can all have a conversation about how long it's going to take us to come out of the pandemic. But if this market levels recover, and its interest rates recover and the return on the investment that we have been making comes through, then what you will see is us continuing to grow earnings. But what's different, this is important, is that we will see increasing operating leverage as that comes through.  That's the point I'm making. And the point is, it's not the short term because I've talked about FY '22, and I think Philip has been very clear on that. I'm not looking ahead for the long term. I'm encouraging just to think through as we emerge from the pandemic with the size of the opportunity that we have and how we're delivering, what that looks like over the medium term and its earnings growth alongside operating leverage improvement.
Philip Johnson: Nicholas, it's Philip here. I'm afraid I didn't hear your first question at all, so I can't answer, I'm afraid. Maybe you can either ask it again or...
Nicholas Herman: Sure. I'll try again. Apologies -- my apologies for the poor line. Just [indiscernible] just on staff costs in the second half of last year of £64 million. I was just curious how much of that reflected the elevated revenues and earnings. And how much we should see as the ongoing run rate? Is that better?
Philip Johnson: I did hear that much more clearly. Thanks so much. I think that is broadly the run rate that we are leaving with, answers your question. On your trading volume question, if you look on to Slide 6 in our presentation, you can see the breakdown there. You can see in the graph, the split between the overseas and the U.K. I think if you look into the longer trend, it makes the point that overseas share dealing overseas shares -- I mean you would expect them to be used by a client base that is becoming better investors over time. There are a number of really great obviously, shares, particularly in the technology space listed in the U.S. market. And what we're trying to do with all our investors is to help them find a good range of assets, funds, shares, whatever it might be that are appropriate for them, their level of confidence over time. And the pickup in that overseas share dealing level from the pre-pandemic period, I think, is reflective of how we've helped our clients through this.
Operator: Our next question is from Andrew Sinclair of Bank of America.
Andrew Sinclair: Three for me as usual, if that's okay. Firstly, just sticking on the international share trading, perhaps asking the question a slightly different way. Can you give us an idea on your guidance what's allowed for in terms of revenue per trade on average, which, as you mentioned, has been a little bit higher this year of your international share trading volumes? Just to get an idea within that. You've given a pretty good steer on volumes, but just on the revenue per trade. Secondly was on activity costs. Just wondered if you could give us an idea of what sort of year-on-year growth in activity costs would be broadly consistent with the upper and lower end of your guidance for share trading? I assume they're fairly linked. And thirdly, just on your cash guidance. I see that's improved a bit from half year. I just really wondered if you could tell us a little bit about how you've been able to improve that. And what sort of reinvestment rate you're getting today?
Philip Johnson: Okay. Thank you. On the trading side, we've assumed a similar mix between the U.K. and overseas that you see in this graph. I am pretty wary of share trading guidance, to be blunt with you. Those of you who've been on these calls for a while know that I had a track record of spectacularly getting this wrong with hindsight. I'm just trying to be helpful. And in coming up with a range around the 40,000 shares a day that gives you a perspective. You can look into this year. You can make your own analysis and estimates of how that would flow through into the cost side. But what I would say is don't get carried away on each individual line. We've given you overall of the costs. We've given you some overall guidance for the cost base, and I'd encourage you to follow that however you make it up in the mix. Then on the cost side, the cash guidance. Nothing has really changed. We are -- it's like market levels. Market levels go up a bit and interest rates go up a bit. The yield curve moves a bit, and so our guidance change. I mean I wouldn't normally have given out guidance 18 months hence in January, but I know it's such a hot topic at the time that it was difficult to get away from. All I've done is updated. And as before, we do the best job we can in terms of reinvestment rates and it depends on bank appetite, our quality as a counterparty and the types of balances and the stability that we bring. And that's all reflected in the guidance I've given out today.
Operator: Our next question comes from Andrew Crean from Autonomous.
Andrew Crean: I've got a couple of questions. Firstly, your cost guidance is linked to your number of customers you grow. And I know in terms of customer growth per month you were doing about 13,000 up until December. Then it rose to about 34,000 in the first quarter and is now brought back to about 12,000. Can you give us some idea in current circumstances, and I'm assuming no further lockdowns, as to what you think you'll do in terms of customer number guidance? And then the second question is just could you give us a bit more around the number of PMS customers you've got over time? I assume the fact that you're cutting the price on that means the volumes have stalled? But if you could give us a few more data points on that, that will be kind.
Philip Johnson: Okay. Let me -- I'll take that quickly and -- so on the PMS side, it's obviously driven more by assets than it is by customers. There is actually information in the data pack about the amounts of assets within PMS. So you can see that visibly. On the customer growth guidance, I can't give you guidance because that's dependent on conditions. What I would say is a couple of things. Remember, there is a seasonality in this business. Tax year-end is when we pick up a highest element of growth. There's nothing particularly revelatory in saying that you would expect that to be the past period of the year, just like you'd expect the 3 months that we're in right now to be disclosed. It's just the same every single year, and everyone kind of gets depressed or excited depending on the period, but that is the reality of the business. And the other observational reality, I would say, is that when we have good starts to the year, it's like a balloon in the financial year. It generally -- you have a fantastic IT season as we've had again this year. It will come in through the course of the tax year, slow start, fast finish, faster starts, slow finish. It's the same every time, but it's the quality and repetitiveness of it that you look over that matters. Then I think when you look backwards, all I'd say is that we've been growing the customer base, 13%, 14-sort-of-percent per annum, I think, over the past 5 years, a bit faster in this year, as we've talked about. It's been an unusual and exceptional period. And Chris has outlined the opportunity ahead of us. We think there's lots of people who can still come to the service. But more importantly, we think -- just as importantly, we think the clients that we've got great clients and now keep adding assets to the platform. And that's what justifies the investment in the quality of our offering, the technology that we bring and essential for capturing what we see in front of us.
Operator: The next question comes from Rhea Shah at Deutsche Bank.
Rhea Shah: So I've got 3. The first one is around Active Savings. You've now grown the funds under management to just over £3 billion in Active Savings. At what point do you go from focusing on growing at scale to targeting revenue growth? The second one is around the Cash ISA. So I think you now marketed it beyond the Active Savings customers. How many customers are using it now for what levels of cash? And how does this interact with the money flowing into or out of Active Savings? And the third one is around ESG. What's the take up of ESG funds on your platform? And is it mostly from people looking at the Wealth Shortlist? And do you think that there's any specific clientele interested in the ESG funds on your platform?
Chris Hill: So I'll go to the ESG one first. So we have noticed, and I don't think this should be a surprise to you, but we've noticed a significant uplift in interest in ESG over the course of the year. So I think the visits to ESG web pages -- and we put more content into this as well. They're up about 147%. And then clients with responsible investments is up about 11% on the year, and it's broadly tracking actually what we see in the wider market, which perhaps is not all that surprising. Some of it is through the Wealth Shortlist. We've now got 5 ESG funds on the Wealth Shortlist. We added 2 relatively recently. But it's certainly the engagement and interest in ESG is a trend that we've seen build through the year. Your second question was about the Cash ISA. So we've begun to roll that out. We haven't yet switched on the transferability, and that will be a significant step, I think, when we do. But we will take our time to do that. We're now rolling it out to the rest of the client base. And we've always taken this approach to Active Savings, which is to be quite gradual in how we roll it out, make sure that we learn as we go and learn as we scale. And then your point about Active Savings overall. So yes, we're just over £3 billion. I mean it's been quite a tough environment for Active Savings, quite frankly, such low interest rates. I think we started our financial year with National Savings who were really the elephant in the room. But as soon as they change, we saw an uptick. But obviously, bank rates have fallen quite a lot. And then I think there's an adjustment period that people have to go through to understand what's the sort of return that I am actually going to get on my cash. Recently, we've seen rates just start to pick up again. But I think £3 billion is not -- that's not what I would call scale. What we're looking to do is just to increase the usership of that. I mean the Active Savings interaction is -- was probably one of the highest services that we have Net Promoter Scores for actually. So clients, when they use it, are finding it exceptionally useful, and you've still got people who have developed their own deposit adders. You are still getting 1% plus from using the platform, and they recognize the value in doing that. And we're just looking to get more usership on that. But it is a very -- I think it's now and certainly seen by the banks is strategically a really important channel for them. And it's a fact, I think, we're proud of in setting up a savings platform that, as I said, for 90% of the year, we had at least one of the market-leading rates. And I think that demonstrates the competitiveness of the platform, and we're looking to build up the scale. But £3 billion is not the scale yet.
Operator: Our next question is from James Hamilton at Numis.
James Hamilton: I'd just like to focus on Slide 17, if I may, where you're sort of scaling the overall market at sort of £3.7 trillion in 2025. Two sort of related questions here. Firstly, realistically at the moment with the offerings you've got in across your product range, how much of that £3 trillion do you think you actually can address and can come on to the Hargreaves' platform? And how does that shift out to 2025? And secondly, if you look at the blobs, you'll see that obviously HL grows faster than the D2C market, which grows faster than the addressable market, which grows around -- faster than the addressable wealth and cash. I'm not going to ask you to speak just to what your blob will look like in 2025, but the D2C market blob. How -- which is obviously growing. How much do you think that is of the 2025 blob?
Chris Hill: I think you've called it out quite well. I think this is a really important slide. And I think everybody on the call really should focus on this one because the market size that we talked about has grown. And as we look ahead, we think it's going to grow even more. That's a pretty exciting picture for me to sit at and look at right now, particularly given the growth in the client base that we've seen and all the trends that I've looked at and talked about with you in terms of younger people engaging with their money. And I think these are the trends that you can see through coming to -- I can't remember if you called them blobs or bubbles, but through each of these things, year-on-year, that is the trend that we've been calling out that we've seen come through. As more and more people take -- show an interest in, get involved with, recognize the importance of saving and investing for the future, more and more people are taking direct ownership. And that is why you see the direct market expanding as a proportion of the overall because you've got more people coming into that market all the time. And we are doing our lion's share of bringing people into that market. And I'm very pleased that our market share is now hit what almost 43%. So I think, therefore, the direct market, when you look ahead to 2025, it's not unreasonable to think that, that will be somewhere between 20% and 25% of the overall. And that's why I'm sharing today in terms of how when we look ahead what we think is important there. Because the service -- what you get from a digital wealth management service that's helping you to build and grow your finances over time, is a very, very compelling proposition. It's also compelling that you can create that proposition for 1% or less.  And therefore, I think there are other people out there who are currently taking advice, who are paying 1.5% to 2% on top of those investments. So my point is actually the direct market becomes more and more attractive. And what you need to do to win in that market is be able to focus on the client and what the client needs are.  When you've got £1.6 million and you have an ambition to continue to grow that, you're building because you've got insight in what these clients want, and the digital piece is exceptionally important. And that's why we turn around and we emphasized 393 million digital visits. That's a great number, a really great number. But I'm excited by the opportunity as I sit here because it's bigger than I thought it was going to be.
Operator: Our next question comes from Greg Simpson at Exane BNP Paribas.
Greg Simpson: First one on my end is the client retention rate was 93% last year and -- in H1, and it was 92% for the full year. I think asset retention is also down year-over-year. So both very high in absolute terms, but can you provide some color as to why retention has dropped a little bit this year? Second question is on Slide 8. You break out, I think, for the first time, third-party data and technology costs, which were up 54% year-over-year. Just wondering if the £23 million cost this year is a good run rate or if there's a lot more planned on that front? Is the appointment of a Chief Technology Officer changing your thinking about technology and things like the cloud? And then just finally, just in the context of the reduction in PMS charges. Do you expect to continue reviewing pricing across the HL business over time? Or are you feeling pretty happy with the competitiveness as how things stand?
Chris Hill: Greg, I'll take a couple of those piece, and I'll let Philip dig into the detail a bit more on costs. So the -- your first question was about client retention. And so -- and it's in the range. I think that's really quite clear on this because we're consistent in how we report. If you then compare it to some of the other market participants and on that basis, it rises to about 95%. So that's to bear in mind. And the second thing is we did see an impact from some of the so-called mean stop trading. And some of those clients were less sticky, which quite frankly is exactly what we would expect. And if you then look at retention levels for clients greater than 1 year, which would naturally then exclude those, is far more consistent with what we've seen before. So my characterization is continued high levels of retention. Then your third point, because then I'll do my comment in a second and hand to Philip. But your third point was just around the PMS charge reduction. And I think Philip was pretty clear what he said there in terms of making sure that we've got a competitive administration fee and overall cost for that particular service, which we are looking to build up, and I think that's the right thing to do. We are always conscious of how we think about price. We make pricing changes where we think it's necessary. We've taken away transfer fees and a whole bunch of other nuisance fees over the last 12, 18 months or so. And that enables us to have I think the most transparent pricing structure that is out there on the market. But we've made changes to overseas dealing fees when that's been appropriate or FX charges. We are feeding price improvement through to clients, the move to segregated mandates and the seg funds. We've got about 40% of multi-manager funds now done through seg mandates, and that's had an ongoing cost impact to clients that help them. With the launch of the Fundfinder, our engagement with fund houses have meant that those prices are still to come down. So we are very, very focused on what presents good value for clients. And then I think your third question was just on technology. And I'll just take one bit to look ahead and then let Philip help you through the next step. But as you can see, we are really excited by the growth opportunity that is here. The size of the market is bigger than we thought before. We recognize the trends in the market, which is all about younger people saving for the future and the required digital engagement that they want to have. And we need the insight that I've given you in terms of how -- what we've delivered in this year and what we're thinking about is all about the development of a more digital and more connected solution. So absolutely, you could see that that's where our focus needs to be. And we're bringing in the leadership that we want in order to help us to drive that. And then, Philip, would you -- have you got any further comments to add on the cost run rate?
Philip Johnson: Yes. I mean I think just, Greg, to make the point that, obviously, we think this is an important line for you to be able to see visibly. It's an area where we speak about technology as being an important component of future investment. I think that the way that we talk about our technology stack and the offering, you can clearly tell that we want to have a number of best-of-breed sort of bought rather than built systems, excluding buyer APIs. And so that's why we've got that line. And it's an element of the investment in the business going forward. As I said to you earlier, so you in general and other people on the call, please don't get too hung up on each of the individual lines. It's the overall guidance that we're trying to be helpful with.
Operator: The next question comes from Ben Bathurst at RBC.
Ben Bathurst: I just got one quick question on capital. Turning to Slide 12. I mean your surplus is now at £190 million. It's been developing quite nicely. I just wondered at what point do you sort of say enough is enough there and start thinking about handing more of your profit back? Or shall we just expect the surplus will just continue to grow and grow with time looking forward? That was it.
Philip Johnson: I'll take that one, Ben. I mean, I think what I said about the cash surplus is that it's generally beneficial to all our stakeholders -- clients, stakeholders, shareholders and regulators, and it funds our growth. We're very confident about that. We believe that we can deliver an attractive income stream to shareholders through the cycle. It underpins that and allows us to manage through unexpected events. And that's capital and liquidity, by the way, because it's often liquidity, which catches people out. We're heading into a year where a lot of your forecasts suggest that profits are going trough.  That wouldn't be a surprise on the guidance we've given today. And I think it would be wrong of me regardless of my future at Hargreaves Lansdown to say anything other than all these decisions are taken by the Board at the time and the next decision that will really be made is 12 months hence.
Operator: The next question is from Shamoli Ravishanker from Morgan Stanley.
Shamoli Ravishanker: My first question is on flows. I was wondering if you could give us some color on customer behavior at this point of time as we see the U.K. coming out of lockdown but the gross outflow is higher in May, June due to a catch-up effect post lockdown of spending on holidays and house purchases. And we can expect that flow behavior to normalize from here. Or is there anything else you would want to flag on a changing competitive landscape there? Second question is on whether you have anything in the pipeline on back book acquisitions? And finally, third, if you could give us some color on whether you have any plans to scale up your advice offering? And whether you have any development in the pipeline here that we could expect to hear about in the short to medium term?
Philip Johnson: Chris, have we got you? You're on mute.
Chris Hill: Sorry. Sorry, Philip. You're right. My finger mistake. I think the first thing, what I did say was we expect FY '22 activity to be higher than FY '20. There is still some form of adjustment in coming out of the pandemic, and I think I said that in response to Nicholas' question as well. But we do see FY '22 activity behind FY '20. I think also in the immediate term, flows after -- well, even after a record tax year, every year, we expect to see quite the flows after tax year. It represents the seasonality of our business. And with coming out of the pandemic, things opening up, we're bound to see some sort of impact. I'm looking through that because I won't repeat Philip's balloon analogy but -- analogy, but that most certainly comes through. And I haven't got any comments to make about acquisitions of back books. We've always said we'll take opportunity of those as and when they arise. And then as far as the advice offering is concerned, I think the points that I'm making about a digital wealth management service. And what clients are telling us, helping me to figure out the best approach, helping me to accelerate progress, clarifying, so I understand, means we are thinking very carefully about delivering the right balance of interaction, whether it be direct or advice. But we're also developing our capabilities to be far more personalized in terms of how we talk to and how we engage with clients.  And so I absolutely recognize that advice is something that is important for people at particular stages of their financial journey. But actually, what I'm thinking about is in a much broader, bigger perspective. Engagement, however, we achieve that, is the most important thing because that's what enabling people to learn, understand, make it easy for them to act. And it's supporting those long-term investment behaviors that I'm talking about because it's those that drive the lifetime value of the business that we've got with our client base.
Operator: Our next question is from Enrico Bolzoni from Crédit Suisse.
Enrico Bolzoni: A couple of just clarification than rather broader questions. So one, when you say that you expect a stronger activity in 2022 versus 2020. In 2020, you did buy some external books. So is that including that or excluding that from -- if I think about net sales targets, for example? Second question was on staff costs. So they actually have been growing faster than the growth in employees. Can you just clarify whether it's because you need to hire a slightly different type of people that be more expensive? Or if here is any other explanation there? And then finally, a bit more general. So clearly, from your slide, it shows that the type of demographics is changing. So the future growth will come from as naturally should be from much younger generation of clients. At the same time, you mentioned frequently that you do quite a lot to educate your clients. So clearly, I cannot think about the importance of cost and compounding on the results for future wealth. And at the same time, I presume the younger generation are also those that are more likely to be a bit more tempted to how much they're paying for the service and at the same time they prefer passive investment, for example, so presumably the penetration will increase in the future.  So in this regard, how sustainable you think is your cost structure? And in general, do you think that these younger clients, these younger cores of clients at some point might actually give more importance to the cost aspect, especially considering that you are doing quite a lot to educate them?
Chris Hill: So the first question. So Enrico, can you repeat the first part of your question, please? Okay. Sorry. Someone is helpfully just responding to me. So the point was about FY '22 activity levels. And you made a comment about we had some back book acquisition included within 2020. My point is, it's a very simple one. We simply have a bigger client base. And we have a bigger client base that is engaged with their investments. And therefore, naturally, we're expecting to see a high level of activity compared to a couple of years ago. As Philip rightly said, over the pandemic period, we added 375,000 clients. So we would naturally expect to see higher levels of activity. There is some adjustment between what happened through lockdowns. And in some aspects of the -- some aspects of that, Philip shown you in the sort of the dealing metrics. But fundamentally, you'd expect to see a higher level of activity. The second question was just about the staff cost mix. And I think that is representative, I think, the quality of the people -- sorry, I shouldn't say -- the experience levels of some of the people that we brought in to more specialist areas of the business is reflected. I've talked about some of the key hires that will be joining us shortly. But particularly within technology, there are some important skill sets that we are obviously clear that we need to invest in. So I think there's elements of that coming through. And then your last more general question about the demographic shift. And it's a shift in the mix. It's a shift in the mix, but it's also -- we're also -- because of the scale that we've got, we can understand the behavioral dynamics. And what I'm saying is the behavioral dynamics are consistent with cohorts that we've seen come through over time. So once you see people come through in a -- once you've seek in sort of a hands down situation and what's been in the press has been very much around shared, quite naturally, that's where they've chosen to dip the toe. But as we talk to them, as we engage with them and understand that what they're looking to do is to invest, and that is the answer they give to the question, which is very long-term connotations. And also, I think I made a comment about this being the year of the ISA. We've had 180,000 more ISA clients this year than last year. And also the level of -- the number of clients who have an ISA, who've been putting money into an ISA is also much, much higher than we've seen in sort of years of recent memory, let me put it that way. And also the engagement that we've had with clients, particularly with the new clients that we've seen this year, this better investor campaign that I've been talking about where we've seen much higher levels of digital engagement. And as we engage with people and provided them with the information and the knowledge and the content, talked to them about diversification, talked to them about the benefits of investing in funds, we've seen that behavior come through. And so your question was, I think, was more about costs. My point is much, much more about value. These people who are going through their investment journey are looking for support. And it's that level of support that we are really focused on and using the benefits of our scale to get really deep insight into what helps them to get invested and what helps them to be successful investing over the long term. And that is why clients are choosing to invest through us.
Operator: [Operator Instructions] We have a question from Paul McGinnis at Shore Capital.
Paul McGinnis: Can I just come back to this concept around the lifetime value? Do you think that you'll be able to maintain client acquisition costs, if I just take a simple definition of your marketing spend divided by the number of new customers, if you can keep that around about £125? I mean that looks on the surface of it, I mean, a bargain in terms of about 1/3 of the annual revenue for someone who'd like to stay with Hargreaves Lansdown based on the retention rates for about 15 years.  Do you think those kind of economics you can sort of keep those up in terms of customer acquisition costs? And then second question, it was just whether we can eke any more out of you around the personalized digital wealth solutions. Because just on that slide, it refers to the advice guidance boundary. I'm just kind of wondering what your thinking is there and when we might get a bit more detail of exactly what you're planning.
Chris Hill: Paul, thanks for those. So the first point around lifetime value. And I think be aware going that direction on client acquisition costs because from a -- the point that I was making to Enrico, one of the key things -- and it's also a key part when we come on to talk about personalized digital wealth service is that personalization of content and if that content is produced by the marketing team. So when we talk about marketing, we're talking about new clients as well as existing clients. And the importance of existing clients to our flows will build over time. That's what we've seen come through. And this comes back to what I'm talking about lifetime value because you can see on those charts, how clients build their wealth over time. And if I step back from this -- and this is the point that I made right upfront to Nicholas. As we see ourselves come through, the post-pandemic phase, as we see market levels recover, as we see interest levels recover, as we see the benefits of the investment, which include everything that we're talking about from a personalized digital wealth management service. So we see that investment come through. In the medium term, what I'm saying -- and this is -- I think this is pretty key, which is we will continue to grow earnings. We've always been growing earnings. We will continue to grow earnings, but we were alongside that have improving operating leverage. That's the key point that I'm making. And the enthusiasm that I have for this is given that larger opportunity, that I can see more and more people coming into that market because more and more people are recognizing the need to save and invest. And then your second question around personalized digital wealth management and the advice guidance boundary. So the more that you can personalize from our perspective, the better because the more that we can help people. And the data set that we are building up through things like our Better Investors campaign, through our financially fearless campaign and focusing on women and a bunch of other things that we've done, and we've engaged with the regulator and helping them to understand the importance of nudges and how nudges help with engagement. And the FCA absolutely recognizes the importance of engagement. And when you look at things like the new consumer duty of care, that the regulator is having to look at, they recognize that it's important to think about this advice guidance boundary in the context of that. And I think people look at advice versus guidance as sort of one or the other. Well, they're missing the point because what is important here is you build up a relationship with clients over time. And there are moments in time when actually having advice can be really important. Some people will go through those stages, and they will be confident, and then they will know what they want to do. But there are times when people do want to have advice. And my view is we need to be making that as accessible as possible. And the model that we have for advice is, you only pay for advice when you use it. And that, I think, is really key because there's a real value differentiator between the 2. So where we are -- look, where we are looking at our focus is increasing that personalization, the more digital, meaning using data, the more connected with the insight that, that gives, the -- ensuring that we've got the capabilities and the technology to make the best use of the analytics. And by doing all of that, we're then turning around and using the intel that we've got. I mean, 26.9 million transactions we've got from a 1.6 million client base, 1.7 million calls through the year. I mean the level of insight that we have is hugely powerful. And our investment is looking to capitalize on that. We have a very, very clear purpose to help people to save and invest with confidence. And we'll be looking to mobilize that data to allow them to have a much, much better experience as we go forward. And that's what I mean by personalized digital wealth management service.
Operator: Our next question is from Anil Sharma from UBS.
Anil Sharma: I had 2 quick questions. The first one was around -- If I look at the SIPP assets. I think in one of the footnotes you're saying that about 20% of them are in drawdown. I just want to understand exactly what that means. Does that mean that for those 20% of assets, they're basically effectively at runoff, and we should assume that that's a headwind to growth? If that's the case, would you mind just help me to quantify it? And then the second one was just around retention rates. I take the point that if you ex out the 1-year customers, the retention rate doesn't look good. The decline doesn't look as sort of bad. But if you look over the last 5 years, it's basically been coming down every single year. So what's going on? Is it that new customers every single year are getting more slightly? Or is there something sort of core client base or the older client base?
Chris Hill: So first on the SIPP assets. So with the pension freedoms that came in, in 2015, you don't have to convert your pension assets to an annuity because you need to have an annuity in retirement. You can choose to move your assets into drawdown. So the fundamental impact of that means that rather than as one of the leading annuity brokers in the U.K., rather than helping people enter an annuity and then see their assets leave the platform, clients are moving their assets into drawdown, which means their assets stay on the platform for a longer period of time, so you can read the increase in lifetime value into that. And then when you move into drawdown, you can either take an income from that or some people choose to move to drawdown, and they don't take an income from that. And I think about 1/3, 35%, something like that, will draw no income from that. So that's -- I wouldn't be thinking about this as a headwind. I'd be thinking about this, all of our assets -- clients retaining assets on the platform for a longer period of time. And then your second question about retention rates. Look, my previous business was a trading business. And the flip side of that was when I'd be talking about retention rates, in my previous business, I'll be talking about attrition rates. 92%, 93% is a high level of retention, reported on that other basis, and it's at 95%. It's comparable. People do sadly die. Some people reach the stage where they feel that they need to go to an adviser. And in response to Paul's question, I gave you some pretty clear insights on where I see the opportunity for that. And then some do go to other platforms, other providers because they have different needs. So all of those dynamics have always been the case. And that question we had earlier on, when you take out the 1 year, I think you have to strip that out. But I still turn around and say 92%, 93%. That's a high level of retention.
Anil Sharma: Okay. Great. That's helpful. So just to quickly understand go back on that SIPP point. So on that 20% of assets there in drawdown, you're saying a proportion of that people are taking it as income. And that would be a small net outflow every quarter or whatever. So what's the rough number?
Chris Hill: So Anil, when you go to drawdown, you're drawing an income from your investments and some of the engagement that we have with clients is helping clients to understand what income they can generate from their assets. So the assets will stay because they need to ensure that, through their retirement, which, for many people is much longer, they're generating income from those assets.
Anil Sharma: Got it. But let's say, if I've got £100 on platform in drawdown, and the income is at £10, are you saying that the £10 gets taken out and so the £100 remains? Or is it that the asset goes from £100 to £105, but people take out £10, so they have to get to £95?
Chris Hill: Anil, perhaps we can take this one offline. But there's a natural -- my point is, there's a natural yield that you get from your investments and that's what people are sensibly thinking about taking. But obviously, there's a proportion of them that aren't taking any income at all from those assets. But I'm sure we can follow up with James on that one.
Operator: We have no further questions on the call. So I will hand back to Chris.
Chris Hill: Thank you, Seth. Thanks for your help. Well, thank you, everybody. Thank you for those questions. I think somewhat appropriately, the sun has come out here in London. And I think my key takeaway from you today is we are very excited by the growth opportunity ahead of us. I'm sat here as CEO, looking at the size of the market that we've performed exceptionally well in this last year. But looking ahead, that market is bigger, and we anticipate that growing. And I think that's -- there's a fair degree of excitement that sits around that. And I believe Hargreaves Lansdown is really well positioned to deliver on that and grow shareholder returns. So if you have any further questions, then James and the team are around for the rest of the day. In the meantime, I hope the sun continues to shine and enjoy the rest of the summer because I know that a few of us now get some well-deserved time off. So thanks very much for your questions. And thank you very much. Take care.
Philip Johnson: Thanks, everyone. Cheers.